Operator: Greetings. Welcome to the Celanese First Quarter 2025 Earnings Call and Webcast. At this time, all participants are in a listen-only-mode. A question-and-answer session will follow the brief remarks. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Bill Cunningham. Thank you. You may begin.
Bill Cunningham: Thanks, Darryl. Welcome to the Celanese Corporation first quarter 2025 earnings conference call. My name is Bill Cunningham, Vice President of Investor Relations. With me today on the call are Scott Richardson, President and Chief Executive Officer; and Chuck Kyrish, Chief Financial Officer. Celanese distributed its first quarter earnings release via Business Wire and posted prepared comments as well as a presentation on our Investor Relations website yesterday afternoon. As a reminder, we'll discuss nonfinancial measures today. You can find definitions of these measures as well as reconciliations to the comparable GAAP measures on our website. Today's presentation will also include forward-looking statements. Please review the cautionary language regarding forward-looking statements, which can be found at the end of both the press release and the prepared comments. Form 8-K reports containing all of these materials have also been submitted to the SEC. With that, Darryl, let's please go ahead and open it up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of David Begleiter with Deutsche Bank.
David Begleiter: Scott, nice quarter. Looking beyond Q2, how should we think about the earnings cadence if not ramp in the back half of the year?
Scott Richardson: Thank you, David. Look, we do have some tailwinds, particularly on the cost side as we go into the second half of the year. First half is pretty heavy on turnarounds. There's probably around $30 million a tailwind there. We called out tariff impact of about $30 million on a direct basis. So those two offset each other. The additional cost reduction actions that we outlined in the prepared remarks is about $40 million. And then kind of the full run rate of the original $80 million and another $20 million. So, you got about $60 million there. And then tow dividend and tow volume will certainly be a tailwind as well. Those two together are about $50 million or so in the second half. So, when you kind of put those things together, it's really a nice kind of almost $100 million or so just from those elements in the second half. The uncertainty factor is demand right now, and I think that is what we're watching very closely to see kind of where things are going to hold from a demand perspective.
David Begleiter: Very good. And just on Micromax, is this the only divestiture you're looking at this year or could it be more this year beyond just Micromax?
Scott Richardson: We've been very consistent that our focus is on cash generation, and we are looking at a myriad of options on the divestiture side, David. It's not just Micromax. We've talked about having a portfolio of things that we're looking at. We felt like announcing the Micromax transaction was important because of the number of inbounds that we've had on this business and with us launching the process right now, we felt like being public with it made a lot more sense.
Operator: Our next questions come from the line of Frank Mitsch with Fermium Research. Please proceed with your question.
Frank Mitsch: Yes. Just following up on Micromax. How do we think about the EBITDA margins for that business?
Scott Richardson: Thank you, Frank. Yes, we said the revenue is about $300 million. And honestly, right now, that business is running very similar EBITDA margins to what Engineered Materials did in the first quarter. So high teens, Frank, is how I would think about it.
Frank Mitsch: All right. Terrific. And I appreciate the color in the commentary and in the slides regarding nylon 66 and the difficulties they're in. I mean we have seen a recent bankruptcy filings. What's your outlook in terms of capacity rationalization and what gets that business fundamentally improving?
Scott Richardson: I'd like to take a quick step back, Frank. I mean, we believe that we have the leading Engineered Materials franchise in the world. When you look at the 19 different polymer families that we have in our portfolio, we feel like we can really deliver unique customer solutions to a wide variety of the customer base. Nylon is the one that's specifically challenged. And so, we called it out really because it is a business that we know we've got to put a core amount of focus on and has been the biggest driver of our earnings decline in the last several years. As we look here, the industry is challenged. The industry has given up a lot of margin over the last several years, and it's unsustainable. And so, the actions that we started taking last year around capacity reductions, us kind of flexing a different operating model here hasn't been enough yet, but we are starting to see a stabilization here. And now that we've got things stabilizing, it's important that we start to build up. And so, you've seen us announce some price increases. We're continuing to focus heavily on the cost side of the equation, so that really streamline our operations to be leaner and ability to meet customer needs going forward.
Frank Mitsch: Understood. Just lastly, you called out that you didn't expect the high-cost producers to be able to last in this sort of environment, are you seeing any tangible actions that of competitor capacity rationalizations?
Scott Richardson: But Frank, we can only can control what we do. And we, I believe, have been taking decisive actions in this business, and we will continue to do so. And we'll continue to partner with our customers as well to bring unique solutions and continue to drive our costs down as much as we can.
Operator: Our next questions come from the line of Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeff Zekauskas: Oil prices have begun to come down. Is this good for Celanese or bad for Celanese? Or how do you think about it or calculate it?
Scott Richardson: Thank you, Jeff. We have a flexible operating model. We have a variety of feedstocks. And I think we've been pretty consistent over the years that we're relatively agnostic to where oil pricing is at. And so, we haven't necessarily -- we see some puts and takes from that. We certainly see some feedstock reductions which is helpful. But then you see some offsets from that, particularly in things like they have been seeing a dividend which comes down when oil pricing moves off. So, as we've run a myriad of permutations from a straight cost perspective, we tend to be agnostic. The question is really demand. I think in most economic environments lower oil pricing usually means demand is at reduced levels in a lot of our end uses. And so, I think that's the piece that we're watching closely right now.
Jeff Zekauskas: So, in the quarter, Engineered Materials volumes were down 4% year-over-year and the Acetyl Chain volumes were 6%. Is that sort of the baseline level of year-over-year change that you expect. When you did your guide for the second quarter, many of the positive components you pointed to were either onetime or cost related. Are you seeing sort of a normal seasonal pickup in volumes. Can you talk about what you expect for volumes for the year?
Scott Richardson: Yes. I'll talk about order book as well, Jeff, here for the second quarter. Let me start with Engineered Materials. We saw a much stronger March than we saw in January and February. And the April orders were kind of in line with that March pickup and the order book for May looks very similar. June is too early to say, and we're -- there's some uncertainty around June orders will go. But April and May are strong. So, we are seeing a volume pickup from Q1 to Q2 from Engineered Materials. On the acetyl side of things, I would say we're not seeing the normal seasonal pickup that we would typically see. Usually, Q2 is significantly better volumetrically and things like paints and coatings. We haven't seen that. We're seeing some of that, but not nearly at the level that we've seen historically in the past where we are seeing volumes move up in acetyls is in the acetate tow business. And we called out some Q1 seasonality there and things certainly are better here as we've started the second quarter. Just as an example, April volumes in acetate tow were about 25% more than January volume. So certainly, seeing things move in the right direction there.
Operator: Thank you. Our next questions come from the line of Ghansham Panjabi with Baird. Please proceed with your question.
Ghansham Panjabi: I just want to go back to the nylon 66 question earlier. Obviously, a very significant drag on operating profit since 2021 on the EM segment, Scott, what specifically changed relative to perhaps your diligence at the time of the M&M transaction prior to close? And then, what is the catalyst to change the profitability matrix for that business going forward? Is it just demand weakness at this point and exaggerate supply? What's going on there?
Scott Richardson: Thank you, Ghansham. The biggest change that we saw happened as we got into '22 and '23 was really reduced demand. And I think that was really come at the exact same time of the increase in capacity. I mean the increased capacity coming to the marketplace was something that we had seen, and we knew was coming. But I think that overlay of the demand reduction coming that second time has just created this significant overcapacity in a short period of time. And we just didn't see a rationalization globally of capacity very quickly. And we took action, obviously, over a year ago on our asset in Europe, and you'll have to see kind of where things go as we go forward. But historically, the Western Hemisphere was overcapacitized, but it had a home to go in China. And when China brought on a lot more new capacity, we've seen that volume back up. And so, we'll just have to kind of see where things go from a balance perspective. But we're going to continue to pivot there. As we've said in the past, we don't need to be a producer of nylon polymer. We are buying polymer as well. And when it's cheaper to do so, we'll ramp down our own operating rates.
Ghansham Panjabi: Okay. And then in terms of the Upstream AC segment, pricing has been negative since 4Q '22 on a year-over-year basis, pretty consistently. Just trying to reconcile your comments and your prepared commentary, et cetera, are we sort of at an inflection point as you see it at this point? I know you've done some pricing in different businesses.
Scott Richardson: The overcapacity that we've seen is contained in Asia today. And we have been moving our business model consistently over the last five or so years, further downstream. And we've added capacity in our emulsions business. We purchased the powders asset downstream from emulsions, and that has given us more flex really to consume more acetic acid and VAM internally. Currently, on a global basis, 65% of what we actually sell in acetyls to a third-party customer is not acetic acid or VAM. And so, that downstream capability does give us some level of differentiation, it doesn't fully insulate us from overcapacity, and we certainly would like margins to be better in acetic acid and VAM. But it does give us some flexibility there, and margins have been relatively stable in the Western Hemisphere.
Operator: Thank you. Our next questions come from the line of Vincent Andrews with Morgan Stanley. Please proceed with your question.
Vincent Andrews: Just on the $700 million to $800 million of cash you're calling out for the year, I mean understanding that the back half of the year is tricky right now to forecast from an earnings perspective. But can you just bridge us '24 to '25? I know there were a lot of onetime items on the cash flow statement last year, but just sort of help us understand your conviction in being able to get the $700 million to $800 million of cash this year despite a tricky outlook.
Scott Richardson: Yes, Vincent, let me start, and then I'll let Chuck fill in some of the year-over-year details. As I said earlier, our focus is on cash. And yes, there's uncertainty in the back half. We do have some tailwinds second half versus first half, as I called out earlier but there is an uncertainty with demand. We are not -- even though volumes are better here in the second quarter, we are not ramping up our plant rates. We are focused on reducing inventory and are going to pull back on rates if we see any kind of reduction demand. So that inventory reduction plan is very strong. And we have levers we believe even if we see a sharp reduction in demand in the second half, we have levers to be able to generate cash flow in the range we called out.
Chuck Kyrish: Yes, that's right. Vincent and to guide on free cash flow, some of those levers they will have impact on the income statement, right, in terms of cost absorption, et cetera. So, those are more difficult to predict sort of on a timing basis. But what we are confident in is the cash flow protection and the generation of these levers. We also think about the categories that we've been talking about to call out of year-over-year improvement. Working capital was the use of cash last year. We're expecting it to be a source of cash this year. So, that's a significant increase year-over-year. We've really taken CapEx down to our maintenance levels. And so that's going to be a significant increase. Cash taxes will come down. So those things, in addition to these levers that Scott talked about, making us confident in that $700 million to $800 million of free cash flow for the year.
Vincent Andrews: Okay. Very good. And then if I could, as a follow-up, your auto volumes, your volumes into auto were down 5% against a global industry down 10%. How much of that outperformance was just a function of it? It seems like it was Asia where the real weakness was, and I think Asia has been a softer market for you in recent quarters versus are you also taking share up or any other things you want to call out in that delta?
Chuck Kyrish: Look, our team has balanced and where we're positioned globally on automotive. Obviously, our business historically is stronger in the Western Hemisphere than in China, but that China business is growing. The end of some of the European destocking that we had called out in the month of March. And as we started here, Q2 was a good driver for us. Certainly, that's where we have more content is in the U.S. and in Europe. And so that certainly was helpful. And we had seen kind of a mismatch of our volumes versus where builds were in the fourth quarter. And so, this kind of getting things kind of balanced back out, Vincent.
Operator: Thank you. Our next questions come from the line of Josh Spector with UBS. Please proceed with your question.
Josh Spector: Scott, I wanted to ask your view on the impact of tariffs on your ability to flex your acetyls chain. So, I mean you called out kind of $15 million net headwind a quarter in second half. I'm not sure how much of that's acetyls versus the other businesses. But the hallmark of that business model has been the flexibility and ability to arb different regions. So how much of a hindrance is that? Or do you see that something you can largely mitigate?
Scott Richardson: Tariffs really don't have much impact for us in acetyls, Josh. I mean the amounts that we called out are really more related to Engineered Materials. Yes, a hallmark of our model is ability to flex. But even when we first started investing in China in 2007, we've talked about China for China, for the most part, in acetyls. And so, we have a really nice position where our assets are positioned in acetyls, and we really don't see much tariff impact.
Josh Spector: Okay. So maybe to clarify for me. On Slide 17, when you talk about 9% of China sales essentially coming from the U.S., is that all EM then? Or what's the nature of that material?
Scott Richardson: Yes. It is all Engineered Materials, Josh. And it is really specifically just several product families. And as we called out there, we have the ability to move that production to other places for about half of that exposure. So, we do have a gap and the team is working hard still on that remaining gap to find ways to mitigate it going forward.
Operator: Thank you. Our next questions come from the line of Patrick Cunningham with Citi. Please proceed with your question.
Patrick Cunningham: I was wondering if you could speak to the success of pricing actions across the EM portfolio given the 1Q and 2Q price increases you've announced. It looks like price is modestly higher sequentially, but could you compare and contrast standard grade versus the more differentiated end and outlook for pricing for the year?
Scott Richardson: Yes. Thank you, Patrick. The team was successful getting some price. We didn't get a whole lot in the first quarter because those price increases were announced towards the end of the quarter, but we did see some, and we are seeing a little bit of carryforward obviously and some additional increases here in the second quarter. I think the price you're seeing is a little more mix related in the first quarter. That was a bigger chunk of the pricing.
Patrick Cunningham: Very good. And then just on the high-impact growth pipeline in EM, do you have any concerns on resource alignment customer relationships with quite a bit of head count reduction in this business? How do you balance the right levels of SG&A investment to support this pipeline going forward?
Scott Richardson: We are taking an aggressive approach on the cost structure of not just the business but the entire corporation. But we also believe that we have sufficient resources and it is really about making sure that we are majoring in the majors, not majoring in the miners here and that we are making sure our resources are focused on those high impact programs. And it doesn't mean we're not going to work other things. It just means that where we're going to put real effort and where we're going to make investment is on those things that have a bigger payoff. And I think the Engineered Materials team led by Todd Elliott has really been doing a great job of ensuring that we are looking at everything that we're doing and making sure our resources are properly positioned on those high-impact areas.
Operator: Thank you. Our next questions come from the line of Mike Sison with Wells Fargo. Please proceed with your question.
Mike Sison: A nice start to the year. When you think about the second half of the year, Scott, I think you're assuming things don't get worse from here where do you think you should end the year in terms of, I don't know, maybe earnings power? Where would you like to get the Company to in terms of in this environment, some level of earnings or EBITDA as we exit the year, heading into hopefully a better year next year?
Scott Richardson: Well, Mike, let me just kind of take a step back. We're not assuming anything right now. We are continuing to be diligent on driving self-help actions, and that is where our focus is. You look at some of those second half tailwinds that I talked about, if, and this is obviously a big if demand were to stay similar to what it is in April and May, then if you add those things, you would get to kind of a run rate exiting the year around $2 a share. That's obviously a big if. And we're not going to assume that that's going to be the case. And we're going to continue to be ahead of how we operate our assets to ensure that we are generating cash because that is really the key focus for us right now, Mike.
Mike Sison: Got it. And then longer term, as you reassessed the portfolio, do you have any thoughts since you've taken the helm of where the earnings power for Celanese should be longer term?
Scott Richardson: We have two great franchises with strong operating model. We believe in the Acetyl Chain operating model. We believe in the Engineered Materials operating model. These businesses have significant earnings power. I mean, the steps that we're taking now and the things that we're doing to generate opportunities even in an uncertain environment, I think, are going to be a nice catalyst for us when we see a stabilization of the demand. I mean if you look at our largest end-use exposure in the acetyl chain and paints, coatings, construction, adhesives, it's been really historically soft now for multiple years. And the business is still generating the type of EBITDA that it is. That flexibility that we have in that business and the investments we made were really well positioned to grow earnings pretty significantly going forward. And I'm not ready to call out a number right now, Mike, on the future, but we do believe kind of the first step in that $2 per quarter, and then we'll build off of that.
Operator: Thank you. Our next question has come from the line of Aleksey Yefremov with KeyBanc Capital Markets. Please proceed with your question.
Aleksey Yefremov: Scott, last quarter, you talked about your focus on gaining share in content in Asia. I mean, we're now five months into this year. How do you feel about your progress on this topic this year and maybe if you look into '26, how should this area of focus evolve for you?
Scott Richardson: China is an important area of focus for us. We believe that in automotive, in particular, the local OEMs are going to be the winners. There in China, and we need to be increasing our content there. That increased content is really going to be focused on these high-impact programs that we have. It needs to be margin focused because I don't know that the volume play there is going to be the same as where our business has historically developed. And so, the team is really corely-focused. Todd Elliott and team have created really a fist group that is really designed around accelerating our content there locally in China. We grew our EV volumes in China 20% last year over the previous year, and we've got to do that again this year. And so that's the kind of focus and targets that we're setting for ourselves to ensure that we're successful long term.
Aleksey Yefremov: And just looking back on Engineered Materials last year, as you know, it was just shy of $1.3 billion of EBITDA. It sounds like destocking is over, demand is okay. How realistic is it for you to get back to that 1.3% annual level over the next few quarters? And what are the risks? What has changed that may lead you from going back to that level of earnings?
Scott Richardson: Well, first and foremost, it's around self-help actions. The things that we are driving that we control, and that is the first step here. And I think with the team, it continues to create nice slate of actions, and it seems like we're adding to that list every single quarter. And so that is helpful. The volume side of the equation is important. There every incremental ton that we sell is worth a lot, particularly as we continue to pull cost out of this business. And so, getting some level of volume stability coming out of where we were in the fourth quarter and the first part of Q1 was extremely important. I also think that the price discussion is important. Margins have compressed here pretty significantly in some of these standard grade areas. And it is really important that we get off of these unsustainable margin levels. And so, that's another element. And we know that's not going to change overnight, and we're going to have to keep working up that step by step. So -- but we feel confident the long-term earnings power of this franchise.
Operator: Thank you. Our next question come from the line of Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy: Scott, when I look at your 2025 free cash flow range of $700 million to $800 million, and back out your ranges for CapEx, working capital, cash taxes, et cetera, it seems to imply that you're tracking to an adjusted EBITDA level around $1.8 billion or so, is that fair? Or are there other cash flow items that might skew the implied earnings range materially higher or lower than that?
Scott Richardson: No, Kevin, I wouldn't read too much into that. As we've stated repeatedly, our focus is on cash. And given the amount of potential demand uncertainty that we see in the back half of the year, we're not -- we're kind of looking at a myriad of scenarios of how things could play out. And with the levers that we have to pull in the variety of those scenarios, we believe that is a solid range for us, and we're confident in that range. Like I said before, if given some of the tailwinds that we have in the second half, if demand were to stay pretty stable, then certainly, the earnings trajectory will look pretty strong in the second half of the year.
Kevin McCarthy: Okay. Fair enough. And then secondly, in a scenario where the tariff regime is status quo today, can you just talk in general terms about what you think might happen in China? For example, have you seen or would you expect to see any examples of project cancellations in China as you look across your portfolio? And where do you think the effect on market conditions could be most pronounced?
Scott Richardson: We haven't seen project cancellations in China. What I would say, Kevin, is we are seeing orders in some of the I would say, kind of small appliances, toys, those areas. We've seen that kind of start to pull back here in the second quarter. That tends to be a relatively low-margin business for us, so we're not significantly worried about it from an EBITDA perspective. But I do think it's indicative of the uncertainty that is out there.
Operator: Thank you. Our next questions come from the line of Arun Viswanathan with RBC Capital Markets. Please proceed with your question.
Arun Viswanathan: I guess I had a question on EM first. You noted that the earnings power of the business has deteriorated maybe $350 million on a gross profit basis and 75% of that was nylon. I know you addressed some of the nylon challenges, but would you say that many of the actions you're taking would allow you to recover that $350 million of gross profit loss and maybe even grow above that? Or is that kind of structurally deteriorated earnings power? How do you think about that?
Scott Richardson: Arun, in my opinion, the bold actions that we're taking are adding to the long-term earnings power of the business. So, we talked about gross profit being down $350-or-so million. Our SG&A R&D costs have also gone down by $100 million, $150 million. So, you've got that partial offset there. I think that power and our ability to operate leaner at lower cost, is going to help us going forward as we continue to drive opportunities through our high-impact programs as we stabilize and then start to increase the returns in our standard grade nylon business and continue to work projects in our historical EM product lines in the standard grades where we have seen some compression as well. And the actions that we're taking on pricing are important here because we need to get off of these unsustainable levels in the standard grade part of the portfolio.
Arun Viswanathan: Okay. And just a question on the leverage. So, it sounds like, obviously, you're laser focused on cash generation and reducing your leverage. Is there any kind of road maps and milestones we should keep in mind as far as where you will maybe get to 4x or 4.5x and if there's any kind of liquidity challenges on the covenant basis that we'd be aware of?
Scott Richardson: No, I don't see any liquidity challenges. It's all about generating cash through free cash flow and divestitures and paying down debt, as quickly as we can. The alternate levers are going to depend largely also on EBITDA and the levels there, but nothing has changed about our focus on driving this balance sheet to much lower leverage levels.
Operator: Thank you. Our next question has come from the line of Hassan Ahmed with Alembic Global. Please proceed with your question.
Hassan Ahmed: You mentioned a few times about VSL’s help and if demand does not materially deteriorate from current levels to get to a $2 a quarter EPS run rate by year-end. If I'm running my numbers correctly, that would kind of imply and correct me if I'm wrong, on an annualized basis, around $1.3 billion or so in free cash flow generation. And then on top of that, you guys sound pretty confident in over the next 2.5 years, an incremental sort of cash injection of, call it, $1 billion to $2.5 billion via divestitures. So, I mean, am I thinking about these things correctly, I mean, because that would place you guys even barring any sort of material recovery in a pretty good situation in terms of debt paydowns.
Scott Richardson: Arun, I don't believe we've been fully recognized for the cash generation.
Hassan Ahmed: From the other side of the border, it's Hassan.
Scott Richardson: Hassan. Yes, that's my apologies. Look, I don't think we've been fully recognized for our cash generation capabilities here. We -- last year, we had lower cash flow, but we called out a lot of onetime items that would have added $400 million to $500 million to that. When you look at the additional actions that we're taking and pulling cost out, certainly, cash flow over $1 billion, if you're operating at those EBITDA levels, is certainly in the right range. And so, we feel good about our ability to continue to generate cash going forward.
Hassan Ahmed: Understood. Understood. Understood. And again, I wanted to revisit sort of the earnings power of the EM business. I mean, you guys obviously flagged the $350 million in sort of duration between '21 and 2024. And again, from the sounds of it, some of the actions that you guys are taking, and what you guys have flagged in terms of the nylon business, sort of oversupply, demand not great. I mean it sounds much more cyclical and it just seems the cost that you guys have taken out in some of the sort of business wins that you're doing, it seems you have a revised sort of earnings power for that business. And it seems it's higher than what you originally anticipated quote at the time of the M&M business. Am I thinking about that properly and a that; and b, would you sort of give us some sort of a guesstimate, maybe in terms of margin terms, what that sort of earnings power may look like maybe on a normalized basis?
Scott Richardson: Look, Hassan, there'd be a lot of assumptions there that we'd have to make. We need to focus on where things are right now. And we are not happy with where our current earnings levels are, and we are aggressively taking actions to improve that. And I believe on the self-help cost side of things, we are leaning things out to where we're going to be extremely nimble as we go forward. And we are putting the right focus around how we can generate unique opportunities at Celanese in both Engineered Materials as well as in the Acetyl Chain. And I do think that will drive power for us going forward. The nylon business, in particular, is a business that does have a lot of standard elements to it. There are some -- also some really great specialty applications in this business. But those standard elements do have a lot of characteristics similar to how acetyls operate. And so, we're kind of taking some of the DNA that we have there, and we're applying it to that operating model. And the scenario that we've seen materialize here in nylon over the last several years is not unlike what we saw happen in the acetyl business in 2008, 2009 economic crisis, where demand fell extremely quickly and at the same time, new supply came online in China. And it took some time to work that out. I believe we have levers and actions that we can to get this business moving in the right direction going forward.
Operator: Thank you. Our next questions come from the line of John Roberts with Mizuho Securities. Please proceed with your question.
John Roberts: I'm not sure we've heard much about electronic inks and pace in the past. Could you just tell us kind of what type of customers that business serves, the geographic mix? And what is it that kept it at Celanese up until this point? Is it connected to some of the other businesses?
Scott Richardson: Thanks for the question, John. Look, we really like this business. It is a good business. It is a little bit more contained with a different set of customers than what we have in the rest of our Engineered Materials portfolio. It is not an engineered thermoplastic. It is not a thermoplastic elastomer. That's really the core of our operating model that we have in EM. And so, it sits a little bit off to the side, unlike what we had with the food ingredients business a few years ago. The reason why we're just now working to sell the business is, we felt like there were opportunities in this business to kind of put some of the characteristics of our operating model into the business in terms of operating with a project pipeline model and generating a pipeline of opportunities going forward. It's historically been a very stable business. But we believe now this is a business that has really nice growth prospects. And so, with those kind of self-help actions being implemented in the business, we now feel like now is the right time to market it.
John Roberts: Okay. And then on the China JV dividends, what was the remedy that got the distributions restarted? Did the law change? Or did you make a legal change to your ownership? What happened there?
Scott Richardson: No, John, the law change requires an audit to be completed before we can receive the dividend payments. And so, that audit will need to get done in the first quarter of every year. And so, the timing of those payments now are just going to be split over the last three quarters as opposed to ratably through all four quarters as in the past. So, that's really the main element of what changed.
Operator: Thank you. Our next questions come from the line of Salvator Tiano with the Bank of America. Please proceed with your question.
Salvator Tiano: Firstly, I want to go back to acetate tow where you mentioned very strong demand in April, the end of the stocking versus another major producer that actually recently said the opposite that the destocking is expanding. And I'm wondering, given you have local production in China, do you think that this is reflecting a different change in natural end market demand? Or could the improvement you're seeing that you're gaining market share versus imports?
Scott Richardson: Yes. So, our China business is really fully contained within the joint venture. So, our base Celanese business does not have exposure to Celanese beyond the dividend. And so, we've been pretty open about the fact that several years ago, as earnings declined pretty significantly, that it made sense for us to operate our business model differently in acetate tow. We're operating it really as another derivative of acetic acid and really combined our teams and are operating it really similarly to how we operate other downstream derivatives. And so, we contracted the business a little differently. And so, the contracts we have in place have a little more seasonality in them than what we had historically. And so, you saw that in the fourth quarter, volumes were stronger. We saw a corresponding decline in the first quarter and you're seeing that bounce back now here in Q2.
Salvator Tiano: Perfect. And with regards to some other items from the Q2 and Q3 earnings bridge, firstly, you mentioned around $15 million to $20 million in improvement in vinyls in Q2 based on price and volumes. How solid is this number? And generally, when we think about the modest demand improvement you mentioned, how does this compare to normal seasonality? And on Q3, you recently -- yesterday, you mentioned -- you put a press release on June 1 price increase for many Engineered Materials products. If these go through as planned, what could be the tailwind in Q3 from pricing?
Scott Richardson: Well, let me take your second question first. Look, I don't want to negotiate against ourselves here. So, I'm not going to call out a number, we need to reverse the trend of pricing in this business. And this is another action that we are taking. I didn't call that out as a second half tailwind because we're not counting on it until we see it come through. And it's something though that it is a trend that needs to be reversed. Going then on to your first question around Vinyls. Look, inventories are lean here as we get into the second quarter, there's heavy turnaround activity largely in the Western Hemisphere. And pricing is still below the Asia arbitrage. And so, from both a pricing and volume perspective, we feel like and are seeing opportunities here in the second half, which is why we called that out, so.
Operator: Thank you. Our next questions come from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Laurence Alexander: Just a couple of quick ones. First, with -- going back to the discussion about the onetime versus structural improvements this year, can you give a sense for what the visible carryovers are into 2026 on both the EBITDA side and the free cash flow side. Second, very quickly on the high-impact projects. Is that pool of opportunities growing? Or are you just doing a better job winning kind of the targets you go after? And then just lastly, I think kind of it's easy for us on the outside to debate spreads and the direction of spreads. But if you think about a return to a strong global environment at some point in the next four or five years, if you fully flex your portfolio, how much would your earnings or EBITDA lift or your sales lift just from the uptick in volume?
Scott Richardson: Okay. A lot to unpack there, Laurence. Let me start with kind of the '26 run rate. It's too early to speculate really on where demand is. So, we can only kind of look at where we are today. And as I called out, demands were to stay similar to what we see here in the second quarter with the self-help actions and things that come back in the second half, we'll be on kind of that $2 trajectory is how I would see things. You will have some quarterization that will look a little different going forward than things in the past. For example, this tow dividend, we will not have in the first quarter. So, we'll have to kind of think about how that plays out, but we're also going to continue to be, hopefully, some of the other actions we're taking around pricing as well as things on the high-impact program side of things will take hold. So that's how I would think about it right now. And as we get closer to the end of the year, we'll provide, obviously, a lot more color on other things that we're driving. On the high-impact program side of things, I mean, this is an area where we're really getting focused around those things that we believe are going to grow at differential levels areas where we have unique offerings and things that we bring to customers and where we believe we can win in all regions of the world. And it doesn't mean we're going to stop doing other things. It means that we're really going to pivot our resources and put a concerted effort around these things. And so, it is an area that we believe we will grow further and faster than what we have been growing in some of these areas previously. And look, from a spread perspective, I don't want to speculate because it's uncertain as to where demand will go. But I think you have to really look at -- first on the acetyl chain side of thing. I mean we are at historical low levels of consumption, particularly in the Western Hemisphere in areas like paints, coatings, adhesives. A lot of these applicants, they don't ship from Asia because you're moving 50% water. So, these are applications and demand that is going to be regional in nature, and we're at very low levels there. And so, as you see recovery, there we believe we are well positioned with our asset base to win, and you should see some margin as well as volume expansion there. And the investments that we've made to expand our VAM capacities over the last six, seven years in North America as well as acetic acid expansions, we believe we're well positioned. On the Engineered Materials side of things, the costs that we're taking out and really continuing to really fully synergize this business from a cost and a network and a footprint perspective is going to allow us to ramp volumes. And we have compounding assets really now in every corner of the world. And that ability because we don't need to be the maker of the polymer. So, if we buy polymer and compound it, that's okay because the pool of profit sits in that compounding step, and it's a step where we can create unique customer solutions. And so that capability, when you see some demand normalization and with the success of us driving high-impact program areas, particularly in areas where we've been underrepresented like China, we think the upside potential is nice going forward.
Bill Cunningham: Daryl, we'll make the next question the last one, please.
Operator: Thank you. Our last questions are going to come from the line of Matthew Blair with TPH. Please proceed with your question.
Matthew Blair: Some of the industry numbers for things like autos and durable goods were really quite strong in March and April. And there's a thought that was simply demand that was pulled forward due to tariff concerns. And we contrast that to some of your commentary it sounds like demand is holding in. May order books, I think you mentioned are pretty similar to April. So, could you help us reconcile that? Are there other areas that are picking up in Q2 that are offsetting durables and autos for you? Or perhaps that original assumption just wasn't correct?
Scott Richardson: Yes. Thank you, Matthew. I think -- look, we don't know exactly kind of what the current demand level is. Is it -- I believe it's necessarily prebuying per se. But end customers certainly we're accelerating purchases in things like automotive. And so, this could be just a rebalancing and restocking of the value chain. And it's why we talk a lot about the uncertainty of demand in the second half because we don't know exactly where that's going to be and kind of what we're seeing right now. We also don't know exactly where June is going to be. And so, we'll have a lot better line of sight as we get a few more weeks into this. But I do think -- I don't want to sit there and say demand is not uncertain. It very much is -- we're not necessarily hearing that from our customers, but we also can't make the assumption that this isn't just a little bit of that rebuild of supply chain. Now, what I will say though is tariff impact is still impacting automotive. We haven't really seen those tariffs weren't paused. And so that is our largest end use. And so, there's just a lot of dynamics here that we're working to clarify here in the coming weeks and months.
Bill Cunningham: Well, thank you, everyone. We'd like to thank everyone for listening in today. As always, we're available after the call for any follow-up questions. Darrel, please go ahead and close out the call.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. We appreciate your participation. Have a wonderful day. You may now disconnect.